Operator: [Call Starts Abruptly] [Operator Instructions] Today’s event is also being simultaneously webcast and can be accessed on the company’s IR website, www.csn.com.br/ri. In there, you will find the respective presentation. Slide selection will be controlled by the participants. The replay of this event will be available soon after its closing. Before moving on, we would like to let you know that any statements made during this conference call relative to CSN’s business outlook, projections, operating and financial goals are based on beliefs and assumptions of the company management and rely on information currently available. Forward-looking statements are not a guarantee of performance. They involve risks, uncertainties and assumptions, since they refer to future events; and therefore, depend on circumstances that may or may not occur. Investors should understand that general economic conditions, industry conditions, and other operating factors may affect the future performance of CSN and lead to results that will materially differ from those in such forward-looking statements. Now, we would like to turn the call over to Mr. Paulo Rogerio Caffarelli, CEO and IR Officer of CSN. They will make the presentation of the financial and operational highlights of CSN in the period. Please, Mr. Caffarelli, you may go on.
Paulo Rogerio Caffarelli: [Interpreted] Good morning, everyone. Thanks for joining us. We are going to start our presentation with the main highlights of CSN of 2015 on Page 3. We generated an EBITDA of R$3,251 million, EBITDA margin of 20%. Our net income was disclosed as R$1,616 million, record iron ore production of 28 million tonnes and 31 million tonnes between sales and transfers of iron ore. Delivered of iron ore in China at $33 per tonne during the fourth quarter 2015 compared to the $53 in the fourth quarter of 2014, with a decrease of $20 per tonne. The decrease of 33% places CSN among the five top companies in the world in terms of cost, with steel with a volume of approximately 5 million tonnes of steel sales in the year. On the next page, Page 4, we show you our strategy in enhancing our competitiveness and recovering cash generation. We have three pillars there: operational efficiency, projects delivery, and even more delivery, the project discipline and financial management. And later on, we are going to talk about each of these items. On Page 5, we show a bit of what we are. We are a diversified company, extremely integrated, which enables us to have superior quality in the segment in which we operate. Highlight here is steel and mining. On Page 6, we have the achievements of 2015. One, it was the conclusion of our business combination with the Asian Consortium with mining, railroads and ports, which brings us new clients and opens new markets. Also I would like to highlight the extension of our debt of R$4.8 million with maturity in 2016/2017 to 2018/2022, what we started, which is a beginning of these investment assets we already talked to the bank about selective assets and also the cost reduction in the steel and mining business. For 2016 we want to continue to expand our sales, reduce operational and administrative costs, continue with a strong working capital reduction, and also a CapEx reduction, also a reduction of leverage and debt, and also the cement operations impact. On the next page, consolidated results, we show net revenue in 2015 of R$15,332 million, generate EBITDA of R$3,251 million, 20% EBITA margin and net income of R$1,616 million. The EBITDA/net debt ratio went to 8.2 times from 6.6 times, because of lower generation of EBITDA in 2015, because of the exchange rate and also the business combination, we know that we have the dividend payout and also the acquisition of CSN of 4.16% of the Consortium in Congonhas. On the next page we have the build-up of the net results for 2015 and here we highlight the effects of the business combination. You will see that out of the R$3,413 million, that basically comprises R$1,059 million of the variation of the share value of the share of 60% of the CSN in Namisa and R$1,154 million in the settlement of pre-existing contracts. We have the income tax of R$528 million, and we have a net result of R$2,825 million, which is in our DRN [ph]. On the next page, Page 9, we have financial results in the perspective of IFRS and also managerial with all the details. On the next question, here this is a very important to highlight. It’s also referring to the business combination, where CSN in the payout of dividend received R$3,239 million and part of that, that is R$2,726 million were used to acquire 4.6% of Congonhas Minérios. Two important points still to mention on this page are the proximity of our managerial and IFRS view and also consolidation of a 100% of Congonhas Minérios cash, constituting 87.52%, that is an excessive [ph] share of CSN in this operation. On Page 11, we show our net revenues, EBITDA margin and EBITDA in the fourth quarter, and the share of each of the segments that comprise CSN. On the next page, we have a yearly view, also highlighting the share of mining and steel in our company. Specifically talking about steels on Page 13, sales volumes of 4,990,000 in 2015 is in line with the volume of 2014. Net revenue is also in line, as you can see on the top right corner, despite the reduction of EBITDA and EBITDA margin, much because of an adverse scenario. We didn’t have the best margin - we did have the best margin among our steel peers in Brazil. On the next page, I would like to highlight today for the coated products, especially galvanized products and metal sheets that already comprise 45% of the domestic market and 53% of the total sales. If you take a look on the right, the increase of sales in the foreign market was correct, because of a reduction in demand in the countries. We had growth of exports of 39% in the year. On the next page, still talking about steel, in terms of cost reduction, we have the cost of $276 per tonne that places us in the first quartile of top steel companies in the world. In mining, Page 16, again, a picture of our record production in 2015, specifically getting to 28 million tonnes, an increase in our EBITDA margin despite the reduction of the price index and that shows the success of our strategy, be it our commercial strategy or operational strategy that were applied along the year of 2015. So about mining, we had an exercise to bring in this presentation the reduction of price. And even with the reduction of Platts we can preserve our margin. You’ll see in this example, when you reduce $8.20 in the index, price index, our margins dropped since our revenues dropped by $2 and our margin by $1. An example of that is that for each $5 of Platts variation EBITDA varies about R$400 million. For each $0.25 of exchange rate, EBITDA varies about R$150 million. Just for you to have an idea of this volatility in the market. On the next page, we’re still talking about mining. We have the evolution the cash cost at China in deliveries. As we mentioned in the fourth quarter of 2014, we had a cost of $53 per tonne and we got this result of $33 in the fourth quarter of 2015. I’d like to record here that it’s very important that in this $33, we have already included [Technical Difficulty] that is very important for the analysis. Another very important issue was productivity that grew by 34%, as you can see on the right corner below, and that again places us among the main players in the world. As for Congonhas Minérios on Page 19, we have information of how the business combination that created Congonhas Minérios operated. Here we have the investments and the entries of Namisa and CSN. And we have the consequence of these events, that is Namisa’s cash payout, the restructuring of Congonhas Minérios, the acquisition of extra stake in Congonhas Minérios by CSN. Remember, that in the final design, CSN is paid with 87.5% and the consortium with 12.4%. Cement, also very important for the company, it’s important to record that the sales volume was basically the same of 2014, even with the cement market dropping in this period by 9%. We on the next slide show the evolution of our production capacity starting with Volta Redonda with capacity of 2.3 million tonnes. In 2015, we had also Arcos with 4.3 million of together. And into 2018 we can get to a volume of 5.3 million tonnes, and that will put CSN again among the main players of Cement in the country. Going to our port, the Sepetiba Tecon with regards to the TECAR terminal, revenues in 2015 was R$230 million, EBITDA margin of 30%. Next on Page 24 we breakdown our CapEx for 2015, R$2,170 million, 27% allocated to steel. In highlights here, we have the renovation of our TG20 that will enable us to increase thermoelectric energy with a reduction of R$530 million, 45% in mining. The highlight here is the anticipation of some acquisitions that we were expected for this year, and were performed in 2015, because of good operating conditions and after the volume of the cement ramp-up. In terms of our financial agenda on the next slide, we have cash management, we have our liabilities, we have cost and working capital, and also our partnerships and divestments. With regard to cash management, the name of the game is liquidity at this point. In terms of debt management on Page 26, we show you the debt profile. Today, you can see that 53% of our debts are in foreign currency, against 47% in domestic currency. Likewise 49% of our revenue is in the foreign market and 51% - 56% is in domestic market - sorry 51%. And EBITDA 44% in domestic currency and 56% in foreign currency that shows the balance of our currency exposure. On the next page, it’s still about debt management. Once again we have the extended debt that we did, the debt from 2016/2017 to 2018/2022. This is a crucial point in the movement that we are making in terms of the divestments of assets, and also the reduction of advance obligations with clients after the business combination of Congonhas Minérios with a volume of R$9.3 billion. On the right, we have a comparison, a picture of the schedule of amortization of our debt, what it was like and what it is today. We feel that now we have a reasonable time in terms of the year of 2016-2017 to do what is necessary to do for us to have our deleveraging. For this stage, we have in the bottom the average debt maturity, the average debt cost, maturities 7.6 years. The domestic currency cost is 107.5% in CDI. And the average cost of debt in foreign currency 5.79%. Talking about cost reduction and working capital, the main focus is to manage our working capital. We want to reduce our inventory of about R$1 billion, and also very strong focus on reducing of 35% our fixed expenses. This is important to mention that these account for 30% of our cost today. Later on, we have the assets that we preselected for a possible deleveraging. And here I would like to mention that we are not selling in a hurry. Sometimes the market wants to pressure us. We want to sell our assets for good quality, because our assets are quality. On the next page, our operational strategy for 2016, the highlights here is a reduction of our CapEx. We said that in 2015 it was R$2,170 million. And this year, it’s going to be up to R$1.3 billion. So this is a focus on sustaining and high capacity projects that will enable us to produce better results. On the last page, we conclude by talking about our sustainable actions and integration in the communities in which we operate. Well, this was our presentation for today. And now we are going to open for questions. Thank you very much.
Operator: Thank you. We’ll now start the Q&A session for investors and analysts. [Operator Instructions] Our first question comes from Marcos Assumpção from Itau BBA. Please, Mr. Assumpção.
Marcos Assumpcao: [Interpreted] Good morning, everyone. My first question is about financial expenses. We saw - if we exclude the exchange variation you’ll have a drop of R$500 million per quarter. If we do an annual account and divide by the gross adds of the company, I got to a cost of that that was very low in Brazilian reals. Could you explain if this number is sustainable, please? And the second question is about iron ore. What is your expectation for the purchase of iron ore by third-parties for 2016? We saw that the volume drop a lot in 2015. It was probably responsible for the drop in volume of sales of CSN in 2015, although the production went up. Thank you very much.
Paulo Rogerio Caffarelli: [Interpreted] Okay, Assumpção, thank you for your question. I am going to answer the first question - Guilherme is going to answer the first question, our manager, and then Daniel is going to talk about iron ore purchases.
Guilherme Hernandes: [Interpreted] Hello, your comment is correct. In fact, when you take a look at the financial expenses, as of today this number is about R$3.3 billion a year. And remember that you mentioned of about R$100 million was impacted this quarter by the write-off of production - of provision, I’m sorry, of about R$117 million related to Namisa. So before the business combination CSN was provisioning this amount. After the completion of the business we wrote off this amount, so which are non-recurring expense. I’m going to Daniel now.
Daniel dos Santos: [Interpreted] Hi, Marcos, your comment is correct, although we have a record production for CSN, 28 million from last year. The iron ore market bit suffered loss. Several high cost producers have shut down, some temporarily, others for good. So the supply of iron ore in the Brazilian Quadrilateral region has been below historical levels. So we do have some contracts that have already been signed for this year and next year. And we have some commitments that led us to estimate the volume of third-parties to 6 million tonnes. So our guidance for next year is an even higher production despite the record of 28 million last year. We are going to produce 30 million tonnes for this year. Out of the 30 million, 5 million is going to go to Volta Redonda, 25 million to the port, and 6 million was third-party direct purchases and port services that we are going to have; so shipment of about 31 million tonnes, which is quite relevant number and a very good number if we consider the scenario.
Marcos Assumpcao: [Interpreted] Well, thank you. Just to add to that, if the iron ore price continues at this level that we see today, do you see a risk of those numbers going up for the purchase of third-parties and port services a bit higher and this total number going up? And just as a follow-up, very quickly, in 2015 you have the acquisition of new equipment for the mines and back to invest to a raising capacity truck level get to the 30 million or can you go up?
Paulo Rogerio Caffarelli: [Interpreted] Okay. Little by little, your first question. Platts has been surprising, it’s been bit above the expectations of everyone in the market. And that leaves us in a very privileged position, because many went down last year, but we did our homework. We can talk even a bit more about that later on. But we are in quite a competitive position and we do have the means to increase even more, perhaps by means of some partnerships to seize this window of opportunity this year and next year with partners in the region. The dynamics is going to be a bit different than previous years. Very hardly those high-cost producers at Shendow [ph] are going to go back to the production they had before. Most probably, we are going to have some kind of partnership on long term businesses with some producers. There aren’t many left in the region. But the iron ores is still there. The opportunity is there and we do have the means to capture the opportunities. So I do think we do have the capacity to even have higher volume for this year. As for your second question, with regard to capacity, we have investments in the mine, but also in previous years we had investments in the plant. And we have resource capacity to produce above the 30 million tonnes. We have to complete some investments in the port terminal, which connects the production units to MRS. So after we finish those within the port terminal, we can raise the capacity by at least 20%.
Marcos Assumpcao: [Interpreted] Well, thank you very much, Daniel. Thanks, Guilherme. Thanks, Caffarelli.
Operator: Our next question comes from Caio Ribeiro from BTG Pactual.
Caio Ribeiro: [Interpreted] Good morning and thanks for taking my question. My first question is about the price scenario for the domestic market. We saw some articles recently talking about the increases of the Platt is still of 10%, 11%. If you’re following those increases and if you’re being able to pass on prices, if you have a good situation to increase your profit - your prices. And if you can also talk about volumes in the domestic market and how you see order book in the quarter, if it’s better than the fourth quarter 2015. What do you expect in terms of growth of volume for 2016? Thank you very much.
Paulo Rogerio Caffarelli: [Interpreted] Well, Caio your two questions are going to be answered by our Corporate Officer for Steels commercial part.
Unidentified Company Representative: [Interpreted] Hello, good morning. Well, very quickly I’m going to tell you what’s happening in the world scenario. In China, just for you to have an idea, the hot rolled coil went from $245 to $315. So we had an increase of $60. In the American market, with the closing of the market for several countries, because of uncertainty, it was $420 to $480, again, $60 up. And if you take a look at the scenario for May to August, we think it can get to $550. So the world scenario really went up to the hot rolled coil. If you look at our competitors in the domestic market, Usiminas with dramatic losses and even Arcelor in the world with loses. It makes no sense in a scenario like this to be still. Brazil has everything, raw materials, technology, cost, so we are going to increase our prices by 10%. We are going to increase our prices, which is necessary, because the industry needs the increase to continue to have margins and continue to invest. Without the decrease, there is no margin, there is no investment. So today, the margin is not a necessity in terms of premium. Just for you to have an idea, the premium over in [target Nacional] [ph] material is a negative premium. So, today, the increase of price of 10% is necessary for us to go back to have the margins and continue to invest. As far as the Brazilian scenario in the first quarter, I think that industry utilization in Brazil was down 60%, in the whole of the industry. Some industries are very much affected like the truck business, automotive, some are a little better. So if the government does not make a very big mistake in the equation, employment production and consumption, the trend is for the economy to pick up gradually in the first quarter. In the case of CSN, what we hear is the following. First, there was a very deep drop in imports. Last year, we have import of about 2 million tonnes. And January, February and March, we are going to have accumulated volumes that are very low in terms of imports, which is not enough to offset this drop in the market. The current steel consumption in Brazil is going back to levels of 2007/2008. So this price scenario in the international market and our portfolio is that basically has 40% exports and 60% domestic market is quite favorable for the year. And the share of coated products both in the domestic and foreign market is going to be balanced. So the whole of the scenario of the domestic market will enable us to reduce intermediate inventories, finished product inventories, and will practically give us the necessary cash in terms of inventories.
Caio Ribeiro: [Interpreted] Okay. Perfect. Thank you very much.
Operator: Our next question comes from Karel Luketic from Bank of America.
Karel Luketic: [Interpreted] Good morning, everyone. Thanks for taking my questions. I have two. First, if you know about the estimate amounts that CSN could raise in terms of divestments. And the second question is about your reduction of cost strategy. If you could give some details about timing and the eventual amounts that we could expect. Thank you very much.
Paulo Rogerio Caffarelli: [Interpreted] Karel, this is Caffarelli. For the sale of assets, we showed during the presentation the asset that was preselected. The initial approach is to bring assets that are not part of our core business, which is the case of Tecon, the exceeding part of MRS, our stake in the generation of energy, metallic another asset that is on sales. But once again, it’s very important that these sales take place in a process with their due count. At moments of crisis, buyers tend to offer prices that are below what we consider the fair price of assets. So that’s why I said that we do have the time. And we want to have the sales to be as good as possible with prices as close to the price that we considered to be fair. That’s for the reduction of costs. Your question is quite interesting, and why is that. So today we are working on an increase of sales and we also estimate a dramatic reduction in cost. When you breakdown CSN’s cost, you see that 70% of costs are connected to production. And they are indexed in terms of coke and coal for steel for instance. It is a commodity and we depend on exchange variation. So what do we have left? First, the sale of inventory, so we have the less coke and coal, because we are going to use part of our sales with inventory that we already have, the R$1 billion I mentioned before. On the other hand, we have 30% with our costs not directly related to the production activity. These costs - our costs we are working on, that is a dramatic decrease of contract of about 35%. It doesn’t mean that we are going to get the discount, but it is a change of permanent scope in the provision of services. Taking for operational efficiency, that is fundamental in a moment that you reduce revenues and you reduce EBITDA. So we have to look inside and we have to work in a very dedicated way to reduce costs, the first happening already in 2016. Perhaps in the result of the first quarter we can already show you our debt of our - a case of debt reduction, because of us reviewing the scope and really working with the reeducation of our contracts and suppliers.
Karel Luketic: [Interpreted] Okay. Thank you very much.
Operator: [Interpreted] Our next question comes from Leonardo Shinohara from HSBC.
Leonardo Shinohara: [Interpreted] Good morning. Thanks for taking my question. We would like to know about sales in the foreign market. You had the sales of approximately 45%. Then I would look like to know what exports are going to be like with the antidumping measures in the U.S.? And the second question in the same line, I would like you to comment about the news we had about the accident in the plant. I hope people are recovering. And I would like to know if that will have an impact on galvanized product? And one more question about iron ore, if you allow me. There was an increase in Platts index, if - what do you see in the short, mid-term, long-term of the price levels for the Chinese market?
Paulo Rogerio Caffarelli: [Interpreted] Hi, Leonardo, this is Caffarelli. I am going to start talking about the accident. Indeed, this is something that mobilized us all on the weekend. Our first concern at first was to provide all assistance to the family. The four employees involved are in Copa D’Or Hospital in Santa Cruz. Fortunately, thank God, we are following them. There is one at a more critical stage. They are basically are recovering. What I would like to tell you with regard to that, is that the operation is coming back on April 10, is going back to normal. We did not have losses. We have also expenses in the switching [ph] of the operation between 10 million and 20 million. But again our greatest concern was to measure [ph] no efforts to provide assistance to all the employees and their families. And now we are going to talk about sales to the external of our market.
Unidentified Company Representative: [Interpreted] Hello, Leonardo, good morning. Of course, the measures that are being imposed to Brazil, those in antidumping and countervailing duty are affecting us, especially in the case of the hot rolled that we sell - send to our company in the U.S. and that we don’t think it is correct. We are defending ourselves. This is a process that is still going on. And what we want at least for those products that we send to the U.S. to be processed, that we have some kind of waiver or differentiation in our treatment. Of course, I’m not working with this scenario. What I have been doing is to focus all our exports to the U.S. in coated products. So today, we are working with pre-painted galvalume galvanized materials and now we have the means still in the market which is in metallic sheet. Today in Brazil, we have a capacity of 1 million tonnes of metallic sheet, metal sheets. We are operating with half the production in Brazil and I’m opening markets everywhere, in Latin America, in Mexico. Mexico still has just a ficard [ph] of 15% and with this level of exchange rate in the dollars and the competitive cost that we have being the first quartile, I can be very competitive in the market. And another thing, I am not a foreigner in this market. In Mexico, I have officers, I have all employees, I have sales teams. In the U.S., we have a very strong sales team based in Chicago, New York at LLC. So I am a local player. What we wanted to grow in the U.S. we are going to grow. Today we have 45% of our sales focused in and the trend is to grow even more with more value added products in the U.S. Brazil has no other way. Export is part of Brazil’s business case. And this is also true for CSN, at least for the next two years, while the internal situation in Brazil does not get better. As I mentioned you, our consumption in Brazil went to levels of 2007. We are talking about a decade ago. So we have to count on exports. And CSN is going to work strongly with costs. We have a very, very competitive Platts cost. We have galvanized products. We have products for automotive and appliance lines. And this is what we want to work with in the United States, Mexico and Latin America. Now Daniel is going to talk about iron ore.
Daniel dos Santos: [Interpreted] Good morning, Leonardo. As we mentioned in previous calls, we have been doing our homework. We have been very judicious in our work with plenty of dedication in our teams in the company. And that led to very competitive costs. Since September 2014, we understood that the Platts and that were going to grow even further down that people are talking about. We started this additional work and with that we position ourselves that we are prepared to any market scenario. Now, when we have a situation like this, that’s slightly even better than we expected, the exchange rates with the dollar up at better than things starts to be even more favorable for the business. And the joint effects of the steel point, multiply and very favorable to our results. So it will have assimilation, considering the production we are expecting for next, costs as they are today and as we are adjusting the company. And dollar at 380, 370, and the price we see today, we are talking about double EBITDA compared to the results we had last year.
Leonardo Shinohara: [Interpreted] Well, thank you very much, and very good answer. Thank you.
Operator: [Interpreted] Our next question comes from Alan Glezer from Bradesco BBI.
Alan Glezer: [Interpreted] Good morning, everyone. Thanks for the opportunity. I have two questions about costs. The first is the cost of iron ore. We saw a drop of $2 per tonne between the third and first quarters of the cost deliveries in China. I would like to know about this $2. What did you see in terms of drops in trades and exchange rate, and how much came from CSN in terms of reduction of costs? And the second question is about the cost of steel. If we take a look at the cost per tonne it went up about 5% quarter on quarter. I would like to know where the increase came from. And the increase was strong in steel. Was that because of an increase of your fixed costs? Was it because of the dollar rated inputs? Where the increase came forth in steel? Thank you very much.
Paulo Rogerio Caffarelli: [Interpreted] Hi, Alan, I am going to answer your first question. I am sorry, Daniel is going to answer your first question. And then Guilherme is going to talk about the costs in steel?
Daniel dos Santos: [Interpreted] So, this is Daniel, good morning. Well, the homework we have been doing is - for true, the drop in Brazilian real was quite significant. Our cost, just for you to have an idea, went down from R$41 per tonne in June to R$39 in October, because again of a series of actions that we have been implementing in the different [indiscernible]. So it’s not little work. It is a lot of work. We have been working on changes in our operations for differentiated products, products with higher margins, trying to work with lower costs. And reductions of costs were related to more day-to-day expenses, relationship with our suppliers, discussion of prices, reductions of inventory in the business. So it is a very broad line of work. And we are working in all the stages of the process. We were quite successful in reducing logistics costs and also production costs. The work is not finished. We still have things to do. And just to remind you, the steel rates went down by about $2. So we are doing our homework and this will continue along the year. We still have some amount to capture in all the phases of process in terms of costs.
Guilherme Hernandes: [Interpreted] Guilherme; Hi, Alan. As for steel costs in this quarter, as we saw we had an increase basically related to raw materials, because of the average consumption of import cost. Remember that we have imported coke and coal. That was about $0.325 for the exchange dollars. And now the exchange was $0.365 so impacting raw materials. And also the increase in maintenance cost in the quarter and depreciation over lower days of production. On the other side, we have some positive effects looking to the future. We completed the TG20 in the quarter, disturbing [ph] that have just finished renovation has a capacity of 160 megawatt. And if you consider the average cost of those energies, including burdens [ph] and fuel, you are talking about the difference in cost of energy of about R$150 per megawatt. And if you analyze the difference you are talking about the potential reduction of R$150 million in energy. So this is something that we have been reinforcing, because of the maintenance of our operational efforts. Just a follow-up in terms of Namisa, I would like to understand, what your strategy is for Namisa in the current price conditions. I would like to note, if your strategy to increase the volume of Namisa with the reference that that they have today could make sense. Thank you.
Paulo Rogerio Caffarelli: [Interpreted] Well, since December of last year, Namisa no longer exists. What we have today is an asset that is the merger of the mining assets of Namisa with the mining assets and iron ore assets of CSN. So based on this reality what we have is this total integration of those assets, and then we have the integration. This is what we call a change in our operational model. We have the opportunity of working in a different way. And this is what we have been doing. The Engenho mine was the mine that belong to Namisa was integrated to Casa de Pedra. And with that, we could reduce our costs and improve the quality of our products. Some facilities at Namisa that were high costs are being used to support the production of Casa de Pedra. So for instance, we have facilities that’s called PD [ph] that we use the full capacity of the terminal, shipping iron ore to complete the either capacity of Namisa with Casa de Pedra. So we are using all the possible synergies that the integration will allow us.
Alan Glezer: [Interpreted] Okay. Thank you very much. You are very clear. And I thank you for the answers.
Operator: [Interpreted] Our next question comes from Humberto Meireles from Goldman Sachs.
Humberto Meireles: [Interpreted] Good afternoon, everyone. Thanks for the opportunity of asking a question. I have three questions. First in your balance sheet in terms of intangibles, there was significant increase quarter on quarter of R$4.3 billion. If you could give us a bit more color on that, what is the reason for increase in terms of cash flow? I have a question in terms of credits from related parties. You have a positive in flow of R$3.5 billion. Also I would like to understand what that stands for, where the credit come from. And finally, a follow-up in terms of steel costs, I would like to understand if you are going to change the way you account for the purchase of iron ore, if it’s - after you complete - and sorry, the quarter that is. When the quarter has 100% of the consolidated results of Congonhas, if you are going to have any change in terms of the account effects?
Paulo Rogerio Caffarelli: [Interpreted] Well, the two first questions as for intangibles and cash flow are going to be answered by Caio [ph] our Accounting Manager. And then, Daniel is going to talk about how we are going to account for costs and prices of iron ore for the steel part of the company.
Unidentified Company Representative: [Interpreted] Well, intangibles as for balance sheet with the significant increases, the spread generated in the business combination operation, assessment that share price of Namisa, Congonhas and the operation generated those assets of R$3,700 million in the balance sheet. As far as the cash flow the R$3,500 million refer to the dividend that was paid out, because of the business combination operation, mainly the pay out of dividend before the operation took place specifically.
Daniel dos Santos: [Interpreted] This is Daniel. As far the transfer to Volta Redonda, since December it became a sale. And to December last year, we delivered at cost and now we have sales contract in this iron ore. It sold at market price to Volta Redonda. So just to be clear, so the components of an increase of cost in steel are the accounting effect of this iron ore coming to price market. And looking further on, you should expect higher cost because you’re going to have three months with 100 of iron ore being sold as price market. Going back to costs, and that we have other factors that are positive. First we had a maintenance downtime and so we decreased the purchase of coke and coal. We used more domestic raw materials. And also we had the ramp up, gradually the coke factories are using and we will improve our competitiveness. So we are choosing capacity, reducing the mix and that has been also positive in terms of costs.
Humberto Meireles: [Interpreted] Okay. Thank you very much.
Paulo Rogerio Caffarelli: [Interpreted] Thank you.
Operator: Our next question comes from Ara Quill from Barclays Company. Biraque, you may proceed.
Ara Quill: Hi there, thanks for taking the questions. A couple from my side, I just want to try to better understand exactly what the strategy is here for reducing leverage and then exactly what the target would be for that year-end 2016. Am I right in thinking you guys are hoping to grow EBITDA through considering cost reduction and also to increase volumes and price increases? And I’m just trying to better understand I guess, where you think the traction really comes from, particularly when I put it in the context of a weak to very weak metals backdrop that we have in Brazil and how exactly we’re going to push through price increases in the order of 10%, given the global oversupply, the current stronger BRL et cetera, so maybe we can start there.
Paulo Rogerio Caffarelli: [Interpreted] Well, so first question was about leverage and also the reduction of expenses, basically focusing on our cash burn. So first it’s important to say that when we talk about deleveraging, the first trend is to think about the divestment of assets, because the sale of asset is the significant point. But we also have a series of other measures that happen together with this topic, such as the increase of sales, as we already mentioned the search of new market for us to distribute our products. This was a very important process in CSN. We are reducing the expenses. I mentioned a reduction of 35% in our expenses, avoid buying raw materials from third-parties, try to optimize production and further on. So when we talk about deleveraging. We are talking about a set of objectives. And the company in a very joint manner talking about all participants who still mining, cement, logistics it’s really engage in trying to really zero our cash burn. As for your second question, which is - I am sorry, going back still about expenses. As I mentioned in the past presentation, we think that as of the presentation of our result in the first quarter 2016, you will be able to see the explicit reduction of expenses that we are talking about. The name of the game as I mentioned before is liquidity, but we have to look inside and cut any kind of expenses to try to reduce our cash burn. Thank you very much.
Ara Quill: Okay.
Operator: Since there are no further questions, we are going to turn the call back to Mr. Paulo Rogerio Caffarelli, CEO and IR officer of CSN for the final consideration.
Paulo Rogerio Caffarelli: [Interpreted] Well, first of all, I’d like to thank all participations in our conference call. Thank you very much for your attention. Also I would like to thank all my colleagues that have been with us to try and have the best possible conference call and answer all your questions. Regardless of that, if you have any more question with regard to our operation performance please do contact our IR department. Thank you very much. And I wish you a good day.
Operator: [Interpreted] Thank you. The conference call of the earnings of CSN is now closed. Please disconnect your lines and have a nice day.